Operator: Hello, and thank you for standing by. My name is Tiffany, and I will be your conference operator today. At this time, I would like to welcome everyone to Balchem Corporation’s fourth quarter and full year 2025 earnings call. All lines have been placed on mute to prevent any background noise. After the speakers' remarks, there will be a question and answer session. If you would like to ask a question during that time, simply press star then the number one on your telephone keypad. I would now like to turn the call over to Carl Martin Bengtsson, Chief Financial Officer. Carl Martin, please go ahead.
Carl Martin Bengtsson: Thank you, and good morning, everyone. Thank you for joining our conference call this morning to discuss the results of Balchem Corporation for the quarter ending December 31, 2025. My name is Carl Martin Bengtsson, Chief Financial Officer, and hosting this call with me is Ted Harris, our Chairman, President, and CEO. Following the advice of our counsel, auditors, and the SEC, at this time, I would like to read our forward-looking statement. Statements made in today’s call that are not historical facts are considered forward-looking statements. We can give no assurance that the expectations reflected in forward-looking statements will prove correct; various factors could cause actual results to differ materially from our expectations, including risks and factors identified in Balchem’s most recent Form 10-Ks, 10-Q, and 8-K reports. The company assumes no obligation to update these forward-looking statements. Today’s call and commentary include non-GAAP financial measures. Please refer to the reconciliations in our earnings release for further details. I will now turn the call over to Ted Harris, our Chairman, President, and CEO. Thank you, Carl Martin.
Ted Harris: Good morning, and welcome to our conference call. We were very pleased with the financial results reported earlier this morning for 2025, which capped off another very strong year for Balchem. We delivered record fourth quarter consolidated sales, adjusted EBITDA, and adjusted net earnings. And I was particularly pleased that we delivered solid year-over-year sales and earnings growth in each of our three reporting segments. Before we get into more detail on the quarter, I would like to reflect for a few minutes on some of the significant accomplishments the Balchem team achieved over the past year. Overall, 2025 was another excellent year for Balchem. For the full year of 2025, we delivered record sales of $1,037,000,000, growing 8.8% compared to the prior year, and passing the $1,000,000,000 mark for the first time. And all three of our reporting segments contributed nicely to the strong growth of the company. We also delivered record earnings from operations of $209,000,000, an increase of 14.4%, and record adjusted EBITDA of $275,000,000, an increase of 9.8% from the prior year. In addition, we generated record free cash flow for the year of $174,000,000 while investing $43,000,000 in capital projects to support our continued growth, allowing us to further pay down our debt and reduce our leverage ratio on a net debt basis to 0.3 times. Financially, a very strong year, capped off with an excellent fourth quarter, and a continuation of Balchem’s consistency in performance. Q4 was our 26th consecutive quarter of year-over-year adjusted EBITDA growth. Throughout 2025, each of our business segments delivered solid growth on both the top and bottom lines each and every quarter. This consistency is a testament to our strategic focus, the excellent execution by our teams, and the resilience of our business model. 2025 turned out to be another eventful year from a macroeconomic and geopolitical perspective. We navigated a dynamic global trade and tariff environment in a disciplined and proactive way. And our intra-regional manufacturing and sales model with approximately 85% of products sold in the same region they are made, our global supply chain with minimal reliance on China, our robust U.S. manufacturing footprint, combined with our strong market positions have enabled us to maneuver through the current situation successfully. We offset tariff impacts through a combination of alternate supply chain options and pricing actions, and we have remained nimble as conditions evolved. At the same time, we have continued to invest in and advance our strategic growth priorities that will support our future success. We made meaningful progress expanding our sales and marketing reach both domestically and internationally, and in 2025, more than half of our sales growth came from markets outside the United States. Our marketing partnership with the New York Jets around our VitaCholine brand and our partnership with Bayern Munich women’s soccer team around our K2VITAL brand have both been successful initiatives in our Human Nutrition and Health segment, while our Real Science Exchange platform in the Animal Nutrition and Health segment continued to grow as an industry information and technology resource supported by clinical studies in various stages of completion, podcasts and symposiums across major streaming platforms, and was just recently recognized as the number one animal nutrition podcast by Million Podcasts. We also significantly advanced our scientific and clinical research pipeline. We continue to invest in the science behind brands such as VitaCholine, K2VITAL, OptiMSM, and Albion Minerals, and our current pipeline includes over 20 active clinical studies. Additionally, we continue to make progress on our 2030 sustainability goals to reduce both greenhouse gas emissions and water usage by 25%. Compared to our 2020 baseline, we have reduced greenhouse gas emissions by approximately 31%, surpassing our 2030 goal, and we have reduced water withdrawal by approximately 16%, showing substantial progress toward our water usage reduction objective. We also continue to invest in our future growth while returning capital to shareholders. We made important and significant new investments in plant and equipment in 2025, resulting in capacity additions for our human nutrition, animal nutrition, and plant nutrition businesses. Of particular note was the commencement of the construction process for our state-of-the-art food ingredient and nutraceutical microencapsulation manufacturing facility in New York State, which will further support our continued growth with this technology. We also repurchased shares under our stock repurchase program to both offset the dilution associated with our equity incentive plan and provide a return of capital to our shareholders. We repurchased approximately 685,000 shares at an average approximate cost of $158 per share. This stock repurchase program is one component of our overall capital deployment strategy that focuses primarily on investing in organic growth opportunities that provide an attractive return, augmenting our organic growth through strategic M&A where appropriate, paying down debt, and maintaining a strong balance sheet, and retaining and growing our dividend to our shareholders. And regarding the dividend, in December, we announced another increase to our annual dividend, taking the dividend from $0.87 to $0.96 per share, a 10% increase year over year. This most recent increase marked the 17th consecutive year of double-digit growth of our dividend, which once again reinforced our commitment to our long-standing dividend strategy. So overall, as we look back on the year, we are proud of the combination of strong financial performance and tangible progress on strategic initiatives, and we maintain a positive outlook as we look forward. I would like to thank all of our employees and stakeholders who contributed to our success throughout another excellent year. Thank you all. Now regarding the fourth quarter of 2025, this morning, we reported fourth quarter consolidated revenues of $264,000,000, which were 9.8% higher than the prior year quarter. GAAP earnings from operations for the fourth quarter were $52,000,000, higher by 10.2% versus the prior year, and we delivered quarterly adjusted EBITDA of $68,000,000, an increase of 8.1%. Consolidated net income closed the quarter at $39,000,000, an increase of 16.8%. This quarterly net income translated to diluted net earnings per share of $1.21 on a GAAP basis, up 17.5% compared to the prior year. On an adjusted basis, our fourth quarter adjusted net earnings were $42,000,000, an increase of 14.8% from the prior year, which translated to $1.31 per diluted share. From a market and demand perspective, we continue to see healthy demand across the vast majority of our end markets. In Human Nutrition and Health, performance remains strong, driven by healthy demand for our portfolio of minerals, vitamins, and nutrients, as well as our food ingredients and solutions. We continue to benefit from the broader consumer and customer shift toward nutrient-dense, high-protein, high-fiber, and low-sugar better-for-you foods, where our nutrition portfolio and formulations capabilities bring meaningful value. In Animal Nutrition and Health, the dairy market remains relatively healthy, particularly for dairy protein, and we continue to penetrate the market with our rumen protected precision release encapsulated nutrient portfolio, and we are seeing modest improvement in market conditions in Europe for our feed-grade choline business after the finalization of the European Commission’s antidumping duties on Chinese choline in late December. In Specialty Products, both our Performance Gases and Plant Nutrition businesses are performing well, supported by stronger demand and healthier market conditions with Performance Gases and continued progress in geographic expansion within Plant Nutrition. Overall, we continue to see healthy demand across all three of our business segments. I am now going to turn the call back over to Carl Martin to go through the fourth quarter consolidated financial results for the company and the results for each of our business segments in more detail.
Carl Martin Bengtsson: Thank you, Ted. As Ted mentioned, overall, the fourth quarter was another very strong quarter for Balchem with strong growth in sales, earnings, and free cash flow. Our fourth quarter net sales of $264,000,000 were up 9.8%, driven by growth in all three segments, Human Nutrition and Health, Animal Nutrition and Health, and Specialty Products. Our fourth quarter gross margin dollars of $94,000,000 were up 8.8%, and our gross margin percentage was 35.6% of sales, down 40 basis points compared to prior year primarily due to certain higher manufacturing input costs. Consolidated operating expenses for the fourth quarter were $42,000,000, up 7% compared to the prior year. The increase was primarily due to higher compensation-related expenses. GAAP earnings from operations for the fourth quarter were $52,000,000, an increase of 10.2%. On an adjusted basis, as detailed in our earnings release this morning, non-GAAP earnings from operations of $57,000,000 were up 9.3% compared to the prior year. Adjusted EBITDA was $68,000,000, an increase of 8.1% compared to the prior year, with an adjusted EBITDA margin rate of 25.8%. Net interest expense was $2,000,000, a reduction of $1,000,000 compared to the prior year driven primarily by lower outstanding borrowings and lower interest rates. The effective tax rates for 2025 and 2024 were 21.6% and 24.5%, respectively. The decrease in the effective tax rate from the prior year was primarily due to a decrease in certain foreign taxes. Consolidated net income closed the quarter at $39,000,000, an increase of 16.8%. This quarterly net income translated into diluted net earnings per share of $1.21, an increase of $0.18 or 17.5% compared to the prior year. On an adjusted basis, our fourth quarter adjusted net earnings were $42,000,000, translating to $1.31 per diluted share, an increase of 15.9% from prior year. We continue to translate our earnings into cash, and fourth quarter cash flows from operations were $67,000,000, and we closed out the quarter with $75,000,000 of cash on the balance sheet. Our net debt decreased to $89,000,000 with an overall leverage ratio on a net debt basis of 0.3. As we look at the fourth quarter from a segment perspective, our Human Nutrition and Health segment generated sales of $166,000,000, an increase of 12.7% from the prior year. The increase was driven by higher sales within both the Nutrients business and the Food Ingredients and Solutions businesses. Our Human Nutrition and Health segment delivered quarterly earnings from operations of $37,000,000, an increase of 8.9%, primarily due to the aforementioned higher sales and a favorable mix, partially offset by certain higher manufacturing input costs and higher operating expenses. Adjusted earnings from operations for this segment were $40,000,000, an increase of 9.6%. We are very pleased with the strong performance of our Human Nutrition and Health segment, where demand continues to be robust for a differentiated portfolio of ingredients and solutions. As consumer preferences increasingly shift toward better-for-you ingredients and solutions, we see a compelling opportunity to further leverage our formulation capabilities, nutrient portfolio, and unique solutions to drive sustained growth in Human Nutrition and Health. Our Animal Nutrition and Health segment generated quarterly sales of $61,000,000, an increase of 4.9% compared to the prior year. The increase in sales was driven by higher sales in both the ruminant and monogastric species markets. Animal Nutrition and Health delivered earnings from operations of $6,000,000, an increase of 8.6%, primarily due to the aforementioned higher sales and a favorable mix partially offset by certain higher manufacturing input costs and higher operating expenses. Fourth quarter adjusted earnings from operations for this segment were $6,000,000, an increase of 9.2%. We are pleased to deliver another quarter of solid top and bottom line growth in our Animal Nutrition and Health segment. We continue to see increasing penetration of our rumen protected encapsulated nutrient solutions in the dairy market, and on the monogastric side, the U.S. market remains steady, while the European market has shown clear signs of improvement following the provisional antidumping duties on Chinese choline announced in the quarter and the final duties announced by the European Commission in December. Looking ahead, we are confident that Animal Nutrition and Health is well positioned to drive sustained long-term growth as adoption of our differentiated technologies continues to expand across key markets. Our Specialty Products segment delivered sales of $35,000,000, an increase of 6% compared to the prior year, due to higher sales in the Performance Gases business. Earnings from operations were $11,000,000, an increase of 5.5% versus the prior year. The increase was primarily driven by the aforementioned higher sales partially offset by higher operating expenses. Fourth quarter adjusted earnings from operations for this segment were $12,000,000, an increase of 6%. We are very pleased with the continued performance of our Specialty Products segment which delivered another quarter of solid growth across both sales and earnings, and as we look ahead, believe this segment is well positioned to continue delivering consistent, profitable growth. So overall, the fourth quarter was another very strong quarter for Balchem. I am now going to turn the call back over to Ted for some closing remarks.
Ted Harris: Thank you, Carl Martin. We are extremely pleased with Balchem’s financial results reported earlier this morning for the fourth quarter and the full year of 2025. As an organization, we continue to demonstrate the ability to perform consistently across a wide range of market environments, supported by our strong competitive positions and differentiated value-added product portfolio. Again, we effectively navigated a dynamic macroeconomic backdrop with limited impact on our results. At the same time, our growth momentum has continued to build as we execute around our core strategic initiatives. I am excited about 2026, and I believe the company is well positioned to deliver continued top and bottom line growth on a full-year basis while further advancing our important growth initiatives. I will now hand the call back over to Carl Martin, who will open up the call for questions.
Carl Martin Bengtsson: Thank you, Ted. This now concludes the formal portion of the conference. We will now open for questions.
Operator: Press star, then the number one on your telephone keypad. To withdraw your question, simply press star 1 again. We will pause for just a moment to compile the Q&A roster. Your first question comes from the line of Robert James Labick with CJS Securities. Please go ahead.
Robert James Labick: Good morning. Congratulations on another record quarter and year. Thanks, Bob. Yeah. That was great. And so, Ted, you mentioned in your prepared remarks the New York Jets. And so I just wanted—have not talked about it in a couple of quarters. Can you discuss the partnership and really, you know, what has come from it? What have you learned? What are the benefits? Are you, you know, and what do you see in the future? Are there more partnerships like this to come? Do you renew? Or how are you thinking about it? What have you learned?
Ted Harris: Yes. We certainly have learned a lot, and I think I talked about on one of the calls when we made the investment in the partnership with the Jets. We really viewed it as a, you know, a pilot investment that, based on the fact that we essentially have done it again with the Bayern Munich women’s team, suggests, you know, we viewed it as a successful venture. But the partnership with the Jets in particular relative to VitaCholine, what we hoped to get out of it and what we learned from it was that, you know, choline and our brand of choline, VitaCholine, was really primarily known for its importance in infant and child cognition. It has been long included in infant formula. We have been very successful in getting part of a typical prenatal vitamin regimen. But the discussion was largely around infant and child cognition. And this investment really has allowed us to change the dialogue because choline is really important for adult cognition, adult health, liver health, and so forth. And so it really has shined a light on the fact that this is also an important nutrient for adults. And I think that if that was the only thing we got out of it, that was worth doing from our perspective. But several brands have adopted VitaCholine in energy drinks and active nutrition formats, while others have decided to launch new SKUs that include choline in supplements. And this all came from the partnership with the Jets and our team being able to leverage that partnership. So financially, we can look back on it and say there was a very good ROI, but I think what was most important was it really gave us the ability to highlight the importance of VitaCholine and the nutrient, the essential nutrient choline, for adult health. And similarly, the investment with Bayern Munich Women’s Team is allowing us to do that with a very different product, the vitamin K2 and our brand K2VITAL, relative to the benefits of K2 in women’s health, in particular given that investment. So we really are pleased with that investment. And it comes, you know, on top of our rich science backing that supports the nutrients, and we need to continue to invest in that. But I think you will see us continue to push the bounds of marketing investment as well because we really have recognized it is an important part of the process. But we really are very pleased with both those investments despite, as you and I have joked, the Jets’ performance in 2025. But there is always the new year, and we are excited about how the Jets will do in the coming year.
Robert James Labick: Absolutely. And we are in the off season, which is their best season. That is right. So I guess, just moving on, you mentioned the science basis for all of your marketing and things like that. Can you talk about, you know, I think on previous calls, you said you had something like 20 or so clinical trials running. Are any of those trials coming up for conclusion in 2026? And how, and assuming positive results, just for now, how would you leverage that information into new sales?
Ted Harris: Yeah. So we do. We are really excited about the—you are right—the 20 studies that are currently underway. We actually had, you know, 18 publications in 2025, based on studies that have been done earlier. And I think that is just an indication of what do we do with these clinical findings. All of them that I have been associated with, you know, have been positive in one way or another. And getting those results out in front of the right audience, whether it is practitioners or influencers or important people within the industry so they understand the science behind their products, but also being able for us to offer claims to our customers who are ultimately selling the product. For example, in 2025, there were a few publications that allowed us to make a claim around vitamin K2, our K2 delta product, and it helps maintain a normal age-related calcification. And that is an important claim to be able to introduce. K2 has been a product that has typically been talked about relative to bone health, but we have long believed that it played an important role relative to cardiovascular health. And so these studies helped us bring that ability to make that claim to our customers. So that is what we do with these studies. And yes, in 2026, there are definitely a few studies that will come to fruition, hopefully be published in 2026. And I think maybe just to mention one that I am particularly excited about that we have talked about before on these calls, but it relates to MD Anderson, University of Texas, MIT clinical study around the effect of high doses of choline in older people with the gene APOE4 relative to Alzheimer’s and the ability for these high doses of choline to potentially impact the development of Alzheimer’s and delay it. So we are very interested in this study. We are excited about it. Obviously we do not have results. Hopefully the results will be positive. But if we could have a highly credible study from institutions such as those that could allow us to make a claim relative to choline and adult cognition, it could be very powerful. So that is one that is coming up in 2026 that we are quite excited about.
Robert James Labick: Yeah. That sounds great. So, okay. Super. I will jump back in queue. Thank you very much.
Operator: Alright. Thanks so much, Bob. Next question comes from the line of Raghuram Selvaraju with H.C. Wainwright. Please go ahead.
Raghuram Selvaraju: Hi. Thanks very much for taking my questions. Sort of three categories here. Firstly, I was wondering if you could comment on planned sales and promotional activities in 2026 that represent a meaningful or marked evolution from 2025. In particular, you know, and this relates to what was asked about earlier already, the relationships with professional sports teams. I am particularly interested in soccer, but if there are other professional sports leagues that you plan to take a look at potentially aligning with, sponsoring, partnering with going forward in order to aid promotion and deployment of H&H products in particular, that would be very helpful to know and understand better. I was wondering if you could comment on what seems the only thing most people can talk about these days, which is the Supreme Court decision overturning the current administration’s tariff regime, and if there are any potential ways in which this could conceivably be disruptive, you know, what mitigation measures you already have in place. I think you alluded to those in your prepared remarks, that would effectively shield the company from organizational disruption. And finally, if you see any potential opportunities if tariffs are indeed rolled back on that. And then lastly, standard question for Carl Martin. You know, what should we be thinking about in terms of effective tax rate assumptions as we refine our projections going forward? Thank you.
Ted Harris: Thanks, Ram. I will try to take a stab at the tariff one. Maybe we will do that one first. Obviously, that is hot off the press; we are all just trying to figure out exactly what it means. I would just start by saying that we were very pleased with how we managed through the disruption of Liberation Day, and the, you know, I would say the confusion and volatility and ups and downs. We feel like we are relatively well positioned from a manufacturing perspective, as I have talked about a few times relative to tariffs, with the fact that the majority of our products that we sell within a region are made in that region. I think that positions us well. But also our strong market positions allowed us, where we had to, to raise prices to offset any tariffs that we ended up having to pay. Obviously, as we think about this ruling, we think about a few things. One is, will there be immediate replacement of the current tariffs using some other section, whether it is 122 or 301 or 338? Will they just be replaced with some other tariff? Will there potentially be refunds that we might receive from some of our suppliers and or that some of our customers might need to receive from us? And I think what I would say about that is that at the end of the day, that is a manageable number. We talked about several calls ago that the theoretical impact of tariffs on us was about $20,000,000. So in the grand scheme of the company, it is a manageable number. Ultimately, that number came down to closer to $10,000,000 based on our efforts to find alternate supply chain solutions and so forth. So the magnitude of the impact was not significant, and I firmly believe that whatever ultimately happens, we will be able to manage through that as effectively as we managed through Liberation Day. But for sure, it is going to create some volatility and uncertainty and supply chain planning challenges and so forth, but we feel very good about our position. I do not necessarily see any significant opportunities coming from this, but again, I think it is hot off the press and we will just have to see. Going back to your first question around planned sales and promotion, I would just highlight that both the Jets and the Bayern Munich investments were multiyear investments. So I think it is important to lead with, you know, those will continue and we are excited to have those continue. They will be sort of our leading, I would say, public-type partnerships. But what we plan to do more of in support of those is a little bit more social media, digital marketing, influencer marketing to further enhance those kind of headline investments. So that is something that we will do. And we also are kind of next on our list of nutrients to invest in from a marketing perspective is MSM, which really is a product that is known for joint health but also has important sort of skin, hair, and nails benefit. And you will be seeing more from us relative to a beauty-from-within campaign, which is also a significant and important trend right now. And we feel like we have a product that fits perfectly into that trend, and we will be investing pretty significantly in that brand and a beauty-from-within campaign. So that will be something that you will see more of in the not too distant future. And I will hand it over to Carl Martin to answer your tax question.
Carl Martin Bengtsson: Ram, I would use 23% for modeling purposes. We ended this year at 22.2% and last year at 22.8%. So we have been in that 22% to 23% range. If we just sort of look at the math of where we do business internationally and where we are making our money, the math would suggest somewhere in the 23% range for effective tax rate, and then it becomes what sort of discrete items that come up during the year and actions we can take to try to make that a little bit lower, but I would use 23% for modeling.
Raghuram Selvaraju: Okay. And then just very quickly, with respect to FX potential headwinds or tailwinds, can you maybe talk about how, you know, potential additional decline, relatively speaking, in the value of the dollar might impact things for Balchem going forward, if you feel that you are reasonably well shielded from FX headwinds? And also, if you could just give us a sense of how you are prioritizing capital deployment at this time, you know, with respect to, in particular, debt repayment versus share repurchases? Thank you.
Carl Martin Bengtsson: Sure, Ram. Maybe I will start on the FX one at least. For us, it is really the U.S. dollar–euro. That is the primary exposure we have that is of any sort of relevance. If we look at the impact on FX to us in 2025, it sort of had a 0.7% impact to growth. It benefited us by 0.7% on a full-year basis based on the movement between the U.S. dollar and the euro that we had in the year. If you were to do that same math on the fourth quarter, the impact was just over 1% sort of favorable to our growth from a stronger euro giving us more dollars when we translate it back. So it is there, and it is not insignificant, but nor is it sort of a really material driver for us. Obviously, as we continue to grow internationally, that will become bigger, and we have seen good growth internationally in 2025. So we keep an eye on it and manage it, and if need be, we will hedge that, but we do not do a lot of hedging at this point in time as the exposure has been very, very manageable to us from an FX perspective. From a capital deployment, I would say that our priorities remain consistent from the perspective that our organic growth is still our primary area where we deploy our cash, and we will continue to grow our dividend as you have seen in the past, and we will continue to focus on our M&A as a key area for deployment, and we will continue to pay down debt. At this point, though, our leverage is so low. So we have, as we have often said in the past, we will try to keep our share count flat and offset anti-dilution over time from equity issuance, etcetera. So we have done that. More recently, we have deployed more capital into share repurchases to catch up on some of those antidilutive purchases so that share count remains flat over time because our debt leverage is so low. So you could say that this is a better time for us and also sort of where we have been trading recently. It was a good time for us to deploy more capital in that space. But fundamentally, has anything changed in how we view capital deployment? No. It is still organic growth and M&A probably as the top two that we are focused on.
Raghuram Selvaraju: Thank you so much.
Ted Harris: Thanks, Ram.
Operator: Your next question comes from the line of Artem Chubara with Rothschild & Co. Redburn. Please go ahead.
Artem Chubara: Good morning, Ted and Carl Martin. Thanks for taking my question. I would like to ask first about the performance within segments, specifically in H&H and A&H. When I look at your H&H growth in the quarter, 13% was a very good result. It looks quite similar to Q3 on the run rate. If I look within the division at Nutrients or Food Ingredients, are we looking at the same dynamic, or have you seen any change there? And probably a similar question on A&H. Ruminants versus monogastric. Any color that would be very helpful. Thank you.
Ted Harris: Artem, thanks, and thanks for joining the call. Focusing on H&H for a minute. I think the simple answer is no. There really has not been a significant shift over the last few quarters. I would say over the last year or so, there has been a more meaningful shift from lower growth in our Food Ingredients and Solutions area to higher growth in that business as the better-for-you trends have had a bigger impact on our business. So, you know, if we look back, you know, 2024, for example, you know, our Food Ingredients and Solutions business really was not growing significantly. And that has changed over time. But I would say certainly relative to the last quarter or so, the dynamic has been quite similar where we are seeing, you know, very significant growth in our minerals and nutrients business, as we call it. You know, clear double-digit growth last quarter, 30%, previous quarter something similar to that. And the reason that the H&H business has been growing faster overall is because the Food Ingredients and Solutions business has now been for the last few quarters growing at a higher rate, and, you know, this past quarter at around 4%, which we think is higher than what the market is growing, and it is importantly because of our focus on better-for-you. Relative to A&H, I think the answer is also somewhat similar in that the primary growth driver in that business over time has always been our ruminant business, and lower growth has come from the monogastric. And if we go back to 2024, we were seeing no growth in the monogastric business or even some negative growth in the monogastric business because of the situation in the European monogastric business that we have talked so much about over the last few years. And what we have seen is that that business has started to recover, started to deliver some growth while the ruminant business continues to grow. And so we are seeing higher growth in A&H because we have the historical ruminant growth now coupled with some improved growth in the monogastric business. So that has really been, I think, the story within A&H for the last few quarters. So nothing has really changed over the last few quarters. The change really has been over the last year or so.
Artem Chubara: That is very helpful. Thank you.
Ted Harris: Thanks, Artem.
Operator: Your next question comes from the line of Daniel Scott Harriman with Sidoti. Please go ahead.
Daniel Scott Harriman: Carl Martin. Hey. Ted. I am sorry. I was just lost for words there. Congrats on another great quarter and another great year. I have got a question for each of you. You called out in the opening remarks just the success that you are seeing with sales outside of the United States, and I know that has been a particular focus within Specialty Products. I was hoping to get an update there. And then within A&H in Europe, are you seeing any early impacts on the pricing dynamics or competitive conditions there after December’s announcement? Really appreciate it, guys. Thank you. Sure. Thank you, Daniel. Maybe I will take the first one, and I will ask Carl Martin to take the second one. But maybe why do you not start with that one?
Carl Martin Bengtsson: Yeah. No. Absolutely. Thank you, Daniel. The short answer is yes. We are now starting to see the improvement in Europe where it is clearly a shift versus just sort of noise in the system. So with the final ruling in December and leading up to that ruling, which was highly anticipated, we have started to see improved volumes, and as we go forward here into Q1 and into Q2, we have also seen some firming up of the prices. So the short answer is yes. It is definitely improving. We will see how far it goes and how much share shift you see and what happens to the price structure, etcetera. I think we are still relatively early innings there. But it is clear that it is moving in a favorable direction, and I will take this opportunity maybe to call out a great win we had that we have not spoken much about in this area, and that is that it was a definition of sort of the country of origin, of how to view the country of origin, where it has really been defined as where the chemical reaction happens of choline, which means that you cannot just ship the choline to a different country, dry it there, and ship it into Europe and say that that intermediary country is the origin. And that is really a huge win for us in trying to sort of combat all the circumvention that we see happening out there and being able to really make it much harder for various suppliers to circumvent these dumping duties. So we are pretty excited about that, and we are starting to see improvements. So, yes, it is starting to move in a favorable direction.
Ted Harris: And, Daniel, going back to the international growth, we did in the prepared remarks make a comment about half of the growth that we have seen recently has come from growth in international markets, and so we are very excited about that. And if you kind of step further back and we reflect on our strategic priorities as a company, and priorities that we sort of build our strategic plans around, driving growth through geographic expansion is an important one of those priorities. So we are very focused on doing that. Still, as a company, we are primarily a U.S. company; still approximately 75% of our sales come from the U.S. So we see a huge opportunity for us to grow internationally, and we think that our products and solutions fit well with international markets and needs. So we are very focused on it. We are working hard on it. And while you mentioned Specialty Products as an area that we are focused on geographic expansion, that is very true, I would say the majority of that differential growth that we have experienced recently internationally is really coming from our Human Nutrition and Health business, where we really are focused on adding people geographically in Asia and South America and Europe—really, I would say, doubling down on our team in Europe—and it is delivering results, and we are growing faster in international locations than we are domestically. And the really good thing about Balchem is our home market still is growing. We have significant growth opportunity in our home market, whether it is through just market growth or further market penetration. So we can drive healthy growth as a company domestically, but our international expansion efforts are delivering even faster growth. And Human Nutrition and Health is the biggest part of that, but our Animal Nutrition and Health business, if you put the European monogastric business aside, our ruminant business is growing very nicely, particularly in Europe, but also, I would say, in Asia and South America. And yes, our Specialty Products business, the Plant Nutrition business, and even the Performance Gases business is growing internationally. So it is an important strategic focus area and we are really having some success really across all three reporting segments. So we are excited about that opportunity for us going forward.
Daniel Scott Harriman: That is really helpful, Ted. Thank you so much.
Ted Harris: Great. Thank you, Daniel.
Operator: That concludes our question and answer session. I will now turn the call back over to Ted Harris for closing remarks.
Ted Harris: Thank you. And once again, thank you all very much for joining our call today. We really appreciate your support throughout the year as well as your time today, and we look forward to reporting out our Q1 2026 results in April. In the meantime, we will be participating in a couple of conferences: the JPMorgan Consumer Ingredients Conference in London on March 10 and the BNP Paribas Exane Consumer Ingredients and Chemicals Conference in London on March 11. So we hope to see some of you there. Again, thank you for joining.
Operator: Ladies and gentlemen, this concludes today’s call. Thank you all for joining. You may now disconnect.